Operator: Welcome to the Third Quarter Year-End Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administrators and in the Company's Annual Report on Form 40-F as filed with the US Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, October 31, 2018. And at this time, for opening remarks and introductions, I would like to turn the call over to the Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator. Good morning, everyone and thanks for joining us for the third quarter conference call. As the operator mentioned, I'm Jay Hennick, Chairman and Chief Executive Officer and with me today is John Friedrichsen, our Chief Financial Officer. This morning's conference call is being webcast and is available in the Investor Relations section of our website. And as usual, a presentation deck is available to accompany today's call. Earlier today, Colliers reported very strong results for the third quarter, continuing the momentum from the first half of the year. Revenues were up 17%, adjusted EBITDA up 33% both in local currency and adjusted earnings per share increased a strong 39%. Importantly, internal growth not counting acquisitions was up an impressive 6% around the world, but up 9% in the Americas region, demonstrating the continued strength of the Colliers global platform. Year-to-date, revenues were up 14%. Adjusted EBITDA up 20% and adjusted earnings per share up 29% over last year. Given our strong performance through the first nine months, current pipelines and continued stable real estate market conditions, we expect to report a solid fourth quarter and finish to the year. I will have a few comments today, then, will pass things over to John for his financial report, so that we can leave a lot of time for questions. As you know, the third quarter was very busy for Colliers. At the beginning of the quarter, we completed the transformational acquisition of Harrison Street, one of the largest real estate private equity firms, specializing in the areas of education, healthcare and storage. Harrison Street together with our existing European investment management business will now form the core of our new investment platform with more than $25 billion in assets under management at the quarter and. As expected, this new division contributed nicely to both revenues and earnings growth for the quarter. The acquisition of Harrison Street was not the only highlight however, as we continue to execute on our ambitious growth plan with three more acquisitions and then one just after the quarter ended. First, we doubled the size of our existing operations in Denmark by merging with another top player in the market, creating the undisputed market leader in commercial real estate in that country. The merger also complemented the addition last year of the largest commercial property company in Finland, giving us one of the strongest platforms for growth in the Nordic region. Second, in Germany, we added a significant player in multifamily capital markets, a service line we intend to expand throughout our operations in Europe's largest economy. Colliers is already one of the top players in commercial real estate in Germany with leading market positions in office, industrial and retail to name a few. Adding multifamily residential to the service mix only strengthens our capabilities even further. Third, we added a sizable property management business in Quebec, Canada. The acquisition triples the size of our existing operations in the province and augments our already leading position as Canada's largest third-party property and asset management business. Then just after the quarter end, we took a further step by adding another project management tuck under in Australia with expertise in corporate property and infrastructure services. This acquisition complements the acquisition last year of NixAnderson and furthers our strategy to build out a market leader in project management in both Australia and New Zealand in the years to come. So far this year, we've added a total of 250 million in revenue through acquisition. This is well in excess of our plan for the year and represents the third year in a row in which we exceeded acquisition targets. All of this ranked Colliers for the future and continues our progress towards achieving our enterprise 2020 plan. The Colliers prop tech accelerator is another successful initiative between us and our partner Techstars who is the industry leader in accelerators and a significant investor in technology companies. Our goal is to find and invest in new technologies that will either advance the Colliers business or even push industry boundaries. During the quarter, we announced our first ten investments coming from 8 cities in 7 countries around the world. Management teams are hard at work with the help of a global network of more than 100 Colliers and industry mentors that are there refining and shaping their technologies for the next phase of their development. The accelerator has been exciting as we look to leverage technology to enhance our capabilities and to lead innovation in our industry for the future. Before I conclude, I'd like to say a word about the volatility we're all seeing in the financial markets. Despite the usual pundits, the commercial real estate industry continues to show strength, more disciplined real estate investors increased investment by institutional investors and greater access to debt capital are just a few of the reasons why. And unless interest rate changes dramatically or there's some significant geopolitical dislocation, we do not see things changing very much going forward. The Colliers leadership team, including its directors, together own more than 40% of the equity of our company. The industry in which we operate is massive and global, creating exceptional opportunities for our company and perhaps most importantly, we have an enviable track record of creating value for shareholders, deliver a more than 20% compound annual growth over almost 24 years in existence. Put another way, our outlook on our business and our industry has not changed one bit over the last month or two or even over the last year for that matter. In fact, I would say that our business, the Colliers business is better today than ever before, especially with the addition of our new investment management platform, a platform that gives us another engine for growth, substantially more higher margin recurring revenue and even more opportunities to leverage the combined business in the years to come. With that, I'll turn things over to John for comment. John?
John Friedrichsen: Thank you, Jay. As announced earlier this morning and highlighted by Jay in his opening remarks, Colliers International Group reported strong financial results in our third quarter of 2018, benefiting from acquisitions and strong year over year internal growth and consolidated revenues, continuing the strong internal growth Colliers generated in the first half of the year over a strong comparable first half of 2017. I will address our Q3 regional financial results as well as our new investment management segment, overall capital deployment and financial position and our outlook for the balance of 2018, following the flow of slides posted on our website that accompany this call. Please note that my comments may reference non-GAAP measures, such as adjusted EBITDA and adjusted EPS, both of which are outlined in our press release issued this morning as well as the accompanying slide deck and are composed primarily of non-cash charges that we view as largely unrelated to our operating results for the quarter. References to the revenue growth, including internal growth are calculated based on local currency. Our Q3 revenues of 716 million, up 17% compared to Q3 of 2017 were comprised of 196 million in sales brokerage revenue, up 6%, while lease brokerage revenue came in at 229 million, up 17% with 259 million in revenue from outsourcing and advisory services, up 15%. Finally, revenues generated by our new investment management operations came in at 32 million compared to 3 million in the prior year quarter, with the increase attributable to the acquisition of Harrison Street real estate completed at the beginning of the third quarter. The more recurring revenues generated by our outsourcing and advisory services segment represented 36% of our overall revenues compared to 37% in Q3 of 2017 and combined with revenues from investment management comprised 41% of our third quarter revenues. Geographically, both revenues and adjusted EBITDA remained well balanced with 57% and 43% respectively being generated in the Americas and the balance being relatively evenly split between EMEA and Asia Pacific. Note that investment management contribution to total revenues was only 4%, with a more significant 12% of adjusted EBITDA largely in our Americas region. Turning to the regions, in the Americas, revenues were 405 million, up 14%, benefiting from strong internal growth and acquisitions. Lease brokerage revenues were up 15% with strength in Canada and the US, indicative of solid economic growth in both markets. Growth in sales brokerage revenue was also strong, up 14% versus last year, led by the US, but also solid growth in Canada. Finally, outsourcing and advisory revenues contributed a strong growth as well, up 12% with growth across all three of our principal services in both Canada and the US, particularly valuations in the US in both property management and project management in Canada where Colliers has market leading positions. Adjusted EBITDA came in at 33.3 million, up from 30.8 million last year and a margin of 8.2%, down slightly from 8.6% last year. Moving to EMEA, revenues came in at 146 million, up 15% versus last year with strong contribution from acquisitions and more tempered internal growth against a very strong comparative performance in Q3 of last year. Lease brokerage revenue in EMEA increased 40% year-over-year, led by very strong performances in Germany and the UK, offset by a 6% decline in sales brokerage revenue compared to Q3 of 2017 when revenues rebounded from the Brexit depressed Q3 and 2016. Finally, outsourcing and advisory revenues were up 17%, largely attributable to our Finnish acquisition completed earlier in the year. Adjusted EBITDA was 17.3 million, up 56% compared to a strong performance in Q3 of 2017. Finally, in our investment management operations established in conjunction with our Harrison Street acquisition, we generated a strong performance with 32 million of revenue and 9.6 million of adjusted EBITDA. AUM had totaled 25.9 billion, up 9% from the beginning of Q3 and the closing of the Harrison Street acquisition, representing a significant pace of growth, which we expect to continue for the balance of 2018 and into 2019. Turning to our capital deployment and balance sheet and our third quarter capital expenditures totaled 7.6 million compared to 8.4 million last year, bringing our year-to-date to 22 million compared to 29 million in the prior year, based largely on timing our estimated CapEx for 2018 will be below our previous estimate of 40 million to 42 million and now we expect it to be in the range of 35 million to 37 million for the year. Driven by our transformational acquisition of Harrison Street to establish a robust investment management platform, we invested 484 million in acquisition activities during our third quarter, up substantially from 13 million last year, bringing our year-to-date investment in acquisitions to 591 million compared to 98 million for the nine month period last year. Our net debt position stood at 706 million at the end of the quarter and our leverage ratio, expressed as net debt to adjust EBITDA was 2.2 times, up from 1.1 times at the end of the third quarter last year, largely due to the Harrison Street acquisition, but down from pro forma leverage of 2.4 times at the end of Q2. Subject to any additional investment and acquisitions of significance, we expect leverage to trend down during the fourth quarter to a range of 1.6 to 1.8 times. In terms of our financial capacity, with cash on hand and committed availability under our revolver, we had about 500 million of liquidity at quarter end, a level ample to fund operations and other capital investments, including acquisitions required to execute our growth strategy. Looking across our global operations, our pipelines of pending transactions were made solid and reflect steady commercial real estate activity, which we expect to continue. Based on stable market conditions, through the end of the year, we expect solid fourth quarter results that will exceed those reported last year and support the full year outlook included in our Q3 slide presentation accompanying this call. That concludes our prepared remarks and I would now like to ask our operator to open up the call to questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Stephen Sheldon of William Blair.
Stephen Sheldon: I guess first appreciate you providing some broader commentary on the environment, but wanted to know if you've seen any delayed activity or hesitation out there due to interest rate increases and broader macro concerns or does it seem at least at this point that underlying momentum has likely continued? And additionally, any changes in trends that you've seen so far in October?
John Friedrichsen: Stephen, it’s John. No. I don't think there's been any material change in terms of expected activity. I think, largely, I mean, obviously, the equity markets have reacted to the increase in interest rates. I think a lot of what has occurred was largely expected and I think that if interest rates continue to be increased on a pretty much controlled basis as much as they have been to date, we don’t see a significant impact on commercial real estate activity.
Jay Hennick: Well, the only thing I would add to that is I can't explain the capital markets. So, business is solid, business is solid, better today than ever before. Maybe growth in real estate over the next year or two might be muted a little bit, but still growth. Our platform is growing beautifully. We have multiple opportunities to grow and the whole industry and many other stocks out there are down materially. So I don't even factor my thinking into the capital markets at all, because I think they don't reflect in many cases and for sure in our business, the underlying strength of our operations. If you want an editorial there, it is.
Stephen Sheldon: I think most people have a hard time explaining capital markets. So yeah, I guess another thing here, really strong growth in AUM and investment management during the third quarter, up over 2 billion. Can you maybe provide some context for the reasons AUM trended higher, any benefit from Harrison Street being on your platform that maybe helped and what's your visibility into continued AUM expansion?
Jay Hennick: I'd like to say, yes, it is. The association with Colliers had a huge barrier, but that’s not -- I don't believe that that's so I think in two or three years, we'll be able to decide whether that's the case or not. Harrison Street is an amazing platform, operated by an amazing group of professionals that have been around a long time. They have a tremendous track record. They have a tremendous track record of not only raising capital, but more importantly deploying it at tremendous returns. And frankly, they have a lot of interest in their very focused and specialized strategy, which is unlike most others in the industry. They don't have a [indiscernible] strategy, they've been very focused in these three areas and I think that that has been a clear differentiator for Harrison Street. So one of the things that we're going to do is cheer them on from the stands and ensure to the extent we can that they maintain their focus around those three areas and another area that they've also entered about a year ago in the infrastructure space, which could be very interesting, although still in the formative stages, so the answer in a long way is, no, I don't think that there's been any initial pick up as a result of the relationship, although we did solve many problems from a succession and a variety of other operational issues at Harrison Street now has behind them.
Stephen Sheldon: And I guess just last one here, can you help us frame the potential financial contribution from the four completed acquisitions over the last few months, excluding Harrison Street. I know you gave some commentary on overall acquisitions I think adding 250 million I believe to run rate revenue, but can you maybe single out the contribution from these four incremental tuck-ins, ex-Harrison Street?
Jay Hennick: Okay. So ex-Harrison Street acquisitions, probably 125 million of revenue probably at a margin would be in the low double digits in terms of EBITDA contribution.
Stephen Sheldon: Is that for, I guess, -- is that in aggregate for the nine others or is that for the kind of four more recent ones?
Jay Hennick: For the full year, the acquisitions completed to date. On a full year basis.
Operator: Your next question comes from the line of Michael Smith of RBC Capital Markets.
Michael Smith: So it sounds, Jay, it sounds like you're feeling pretty good about 2019?
Jay Hennick: We're feeling like business is continuing. Our business continues to get stronger. Things can happen as they can in every business, but yes, I'm feeling very comfortable about ‘19. Although we’re just entering the budget process right now and we’ll probably have a better feel for it in February when we report our fourth quarter and year end numbers.
Michael Smith: So just, talking about Harrison Street, I think when you announced the acquisition, there was about 15 billion under management and then in Q2, that had grown to, I believe, [Technical Difficulty] Has there been any change since then in that specific business?
Jay Hennick: The thing it might be missing is when we added our European business to the Harrison Street numbers. So we were talking about 25 -- in excess of $25 billion, we're talking about the combined business as it's grown since the end of the last quarter.
Michael Smith: I read a lot of that. I guess I'm just trying to see if that specific segment of your new investment management business has grown?
John Friedrichsen: Yes. And all the growth was attributable to Harrison Street piece of it.
Michael Smith: [Technical Difficulty] with your existing business and the margins are quite different as I understand for Harrison Street are much higher than business that were in -- that was formerly in EMEA. Is it fair to say that probably the Harrison Street component is going to grow faster and that's a higher margin business, so that your current margins in that business, which are 30-ish percent, we should probably see some expansion down the road, as you ramp up this -- the Harrison Street component.
Jay Hennick: John will have an answer for you, but remember there are two types of business. Our existing business is what you’d call segregated accounts or which is very similar to some of our peers have huge operations in the segregated account space. Typically, lower margin, more type of Investment Management, whereas Harrison Street is a much more higher margin high growth unique platform where investors require a more astute and aggressive way, aggressive is probably the wrong word, but a more astute disciplined way of managing those open ended and closed ended funds. About half of Harrison's activities are open ended and half are closed ended funds, both in North America and Europe.
John Friedrichsen: So your thesis is right based on a steady state. So absent any further acquisitions that might impact the margins today, Harrison Street business does generate higher margins for the reasons Jay articulated. We do expect it to grow at a quicker pace, so there should be an overall benefit to the margin in the segment going forward, based on expected growth of sort of both elements of our investment management business.
Michael Smith: And just lastly, just on leverage, your leverage came in a little bit less than your pro forma. I think in the last quarter, you mentioned that by the end of 2019, you're thinking of -- you saw it probably getting down to 1.4, is that still the case or?
John Friedrichsen: Yeah. I mean, absent, any sizable acquisitions, so based on our best estimate of a continuation of 2018 and to 2019 and we’ll have more to say about 2019 as Jay indicated in February, once we get through our year end and have a better visibility in our expectations for 2019, but assume that 2018 or 2019 was to largely replicate performance this year and assuming that we continue certain small tuck under acquisition investment activities, we would expect our year round 2019 leverage to be in the 1.4, 1.5 times range.
Operator: Your next question comes from the line of [indiscernible] of Scotiabank.
Unidentified Analyst: Hey, Jay, I’d like to follow up on your commentary for 2019, just not context of what you've mentioned. I'm just wondering how we should think of organic levels of the business. I guess in the context of 3 to 4, whatever the number is in terms of interest rate hikes and some, I guess, some more market uncertainty that we're seeing today carry on to next year, how should we think of kind of ex-tuck-unders, but how should we think of the base level growth of the business.
Jay Hennick: I was looking at John here a little bit. We probably would be budgeting around 3% organic growth going into 2019 and see how we -- see how it goes. It's one of those -- I mean, we have great predictability around our recurring revenue component of the business, but not so large around capital markets, as an example, a little bit better around leasing. So, in the last couple of years, we have budgeted down in internal growth. I think we budgeted around 3% internal growth. This year, we’re coming in better than that, which is nice to see, but as the company gets bigger, internal growth becomes more challenging. And the business is and I guess, as I said, continues to be pretty solid and not just in pockets, but really around the world. There are lots of sophisticated investors, looking for attractive assets globally. There's lots of institutions allocating money to astute investors like Harrison Street to place their capital. There is debt capital available. So, we see a pretty strong market and in the case of the global real estate service providers and there's really only four of them, we're all so geographically diverse and we all have a significant amount of recurring revenue. There's a lot of stability in our business model, so I think 2019 will be another solid year of performance. It won't be 7% or 8% internal growth year. I don't think, I hope it is, but I don't think, I don't think so.
Unidentified Analyst: And just looking at corporate costs, there seems to be a little bit of a kind of the step up there. I know some of it's inflation related, but can you maybe help us get a -- maybe break out the strong base comp. I just got a sense of what you guys think the run rate should be there?
Jay Hennick: Stock based comp has been elevated, because our share price was higher, it's going to come back a little bit now, but it's going to be probably in line with, I would imagine, the expenses, but largely in line with maybe where we were in 2017, going back. Depending again, if stock price does impact where we are, but I would expect in the $4 million to $5 million range for next year. Corporate costs, I mean, it's up based on performance to date and expected performance for the year. So, that's a variable piece that is all bonus performance driven and then we've got an amount related to insurance, which we believe is just a one-off. So happened to be trying around bunch of claims that came through just in the quarter, but it's not indicative of a higher run rate on an annual basis. So that should revert and you can look at that, about 1.5 million, that increase in corporate costs, it's kind of a one-off for the quarter, Q3.
Unidentified Analyst: Just one last one if I may, on the Americas, it seems to be a little bit of margin compression there. We’ve seen really strong top line growth. So just wondering what caused that and maybe if you can talk to kind of the margin expansion path there we expect to see in a next little bit?
Jay Hennick: Yeah. It’s largely – it’s function of our US business. We have had experienced tremendous growth in the Western part of the US in particular and that market tends to have a higher cost of production than the rest of the US. So it's really a mix issue for us. And there are initiatives we're going to take. We've made tremendous investment in our US business, which is in part playing out here and seeing some of this tremendous revenue growth and we need to kind of do a bit of a reset and valuate our costs overall and ensure that we have an effective business, which we can continue to operate and continue to invest significantly in our business. The US government remains a huge opportunity for Colliers and we're focused on it. So there will be some tweaking that we need to do there and more growth in our Midwest and Eastern businesses and we see some great opportunity, we made investment there, we’re going to continue to do that and I think over time, that will also help balance out and drive margin expansion in our US, which we will ultimately report in our Americas segment.
John Friedrichsen: The other thing I'd add to that and we saw a year or two ago when we acquired the significant operation in San Francisco, San Jose, et cetera, the West Coast operations typically have lower margin and this year of course we acquired Salt Lake City, which is the intermountain region, another significant platform that added significantly to our US business. That's the good news, strong EBITDA, but from a margin standpoint, the margin is lower than it is in the rest of the country. So it had sort of a negative dilution aspect to us, to the margin in the quarter and will for the year. Obviously overtime, we think that there's opportunities to leverage the back office and bring the margins more in line, but those are the good news, bad news of making acquisitions, significant ones at that and when they are significant, they do have an impact on reported margins, but we see it as all good and we see it as all opportunity for us.
Operator: Your next question comes from the line of Stephen MacLeod of BMO Capital Markets.
Stephen MacLeod: I just wanted to circle around on the European business. Obviously, really strong margin growth, given some of the acquisitions that you've completed. Can you talk a little bit about how the margin profile evolved in the quarter for the sort of the base underlying business and what some of the factors were driving that?
John Friedrichsen: It was just really, Steve, just mix and where revenues were generated. I mean, we had different margin profiles in our different operations across Europe and it was really just a function of where margins came in. I mean, overall, I would say, the acquisitions contributed at margins which would be consistent with the overall business, the legacy business. So really the activity and the increase in margin was largely related just the variation in the composition of those revenues that we reported in the quarter.
Stephen MacLeod: And then just when you look at the investment management business, I mean, one of the things that was highlighted when you bought the Harrison Street business, which obviously is performing very well was growing in Europe and I'm just curious if you can provide a little bit of color on how that's going and sort of, is that where you see, when you think about AUM growth, potentially growing at high single digit rates, is that where you see the growth mainly coming from?
John Friedrichsen: Well, it's obviously still early days and the Harrison Street team happens to be in the UK right now. But I think that relative to its core business in the US, it's still a small piece. And we're trying to get our mitts around how do we integrate, do we integrate our existing investment management platform in France and Belgium and the UK in with Harrison Street. So, there's a lot of integration discussions going on at the same time as some interesting opportunities have presented themselves, primarily in Europe, leveraging both Colliers and Harrison Street track records. So, we're excited about what we can be doing in Europe, but I think we need some time to be able to execute on a few things.
Stephen MacLeod: And then just when you think about Harrison going forward, I mean, what do you see -- how do you see the margin profile evolving from where it is now? I mean, it came in at a 30% margin, probably -- that probably seems like it may be underperformed based on potentially timing. So I’m just curious how you expect that to evolve over time, as Harrison grows at a faster rate than the European business.
John Friedrichsen: Yeah. I think that was in part a similar question asked earlier on the call. I think based on expected growth, which we do at this time, expect the growth in Harrison Street to be faster that we will see an improvement in margin over time. I'm not going to really quantify at this point, other than to say, we expect it to be progressive over time and we're not talking about a 1000 basis point increase in the next year or two, but I think progressively, over the next few years, because Harrison Street is operating at a more of a mid-30s percentage margin, which we had, I think, indicated at the inception and announcement of the acquisition, because of that growth and the impact it has overall on the margin of the segment, we would expect that to progressively increase. Timing can have a small impact on a quarterly basis and depending on when fundraising occurs and closes. So, we'll see a little bit of that. We've got a little bit of seasonality in the European business but it’s small – again relative of Harrison Street, so really not a big impact on the overall margin. But I think expectations are -- certainly our own expectations are that margins would, for the segment, would increase from where they are today.
Stephen MacLeod: And then just one final one, Jay you talked a lot about just the recurring revenue and having significant portion of recurring revenues. Is it safe to assume that like that 36% roughly that is outsourcing in advisory, that's what you're talking about, when you talk about recurring?
Jay Hennick: No. When I -- to me, Harrison Street is entirely recurring. So that takes 36 to 41 just based on this quarter might be higher actually on an annualized basis, we’ll have to see and some of our -- both of our larger peers include leasing revenue as part of their recurring revenue and if you do that, it takes our number up to mid or low 70s I believe in recurring revenue, 73% in recurring revenue, including leasing, which is a repeat I wouldn't call it recurring, I’d call it repeat revenue is a three year lease, it’s a five year lease, is it a longer term lease. So, there's an ongoing relationship where that lease will renew and if you maintain your relationship, so there's some semblance or there's some justification for that, but I think the beauty of our business and frankly I would say our peers share the same benefits is they’re so widely diversified on a global basis, some differently than others in terms of where they're strong, where they are. We happened to be quite balanced, sort of, half of our business is in the Americas and 25% in the other two parts of the world. So, we're geographically diverse, we're also diverse by service line and a lot of that service line is recurring, so we feel very good about the fact that we have a very balance business and way more balanced and way more recurring than most other businesses we see up there at least from our perspective.
Operator: [Operator Instructions] Your next question comes from the line of Mitch Germain of JMP Securities.
Mitch Germain: Jay, tell me how do you measure tech investment? I know when you invest in acquisitions, you're acquiring stuff at a certain multiple and you kind of, the revenues are highly visible. I'm curious when you're investing in some of these technology start-ups, how you measure return?
Jay Hennick: Well, it's a great question and I think the whole area of technology investing is not for the fainted heart and when I think about it in terms of Colliers, we think we have the best strategy of all of our peers, because we've partnered with Techstars who is not only leader in global accelerators, but is also a very, very significant and savvy tech investor and the whole idea of the accelerator was to cast a wide net. I think, we had something like 400 technology investments that had put themselves forward as potential targets for our investment and our investment and Techstar’s investment are both independent. So significant investment from both of us. We selected 10 on a global basis. It gives us a huge view of what happens, what have technology savvy people seen, as it relates to our industry, is there any areas of disintermediation, are there areas in which we can accelerate the data that we use to help our clients make decisions, are there other workflow processes that can help accelerate the way we present or execute on our business and we selected the first 10 investments. So the way we see it is, we see a lot of deals. We are partners with an exceptional player. We've been approached by several other major investors that want to participate in our prop tech accelerator, will be involved in our demo day, which is coming up in December, where we make decisions on further investment. So we think that our strategy around technology is better than most and it respects the fact that we are service operators with an eye to technology for the right reasons, but have a very strong partner that’s long -- has a long and experienced track record to help guide us through it and both industry experts, the Colliers mentors around the world as well as technology experts have been partnering together to mentor our 10 investments along and the results are quite exciting actually. So I hope I‘ve given you a little bit of color on it. There is way more to tell and you're welcome to -- you are welcome to come to demo day if you’d like in December and see what we're up to. We’d love to have you. Okay. If that's going to help us get a strong buy from you Mitch, we’re all over.
Operator: There are no further questions in the queue.
Jay Hennick: Thank you very much operator and thanks for joining us. Mitch, strong bye. Have a good day. Thank you everybody for participating.
Operator: Ladies and gentlemen, this concludes the quarterly investors conference call. Thank you for your participation and have a nice day.